Operator: Good morning, ladies and gentlemen and welcome to the Jubilee Metals Group PLC, Half Year Results Investor Presentation. Throughout this recorded presentation, investors will be in listen-only mode. Questions are encouraged, they can be submitted at any time via the Q&A tab, that just situates on the right hand corner of your screen. Please just simply type in your questions and press send. Due to the significant number of investors on today's call, the company may not be in a position to answer all of the questions that are submitted today, however the company will review all of the questions and publish responses where it is appropriate to do so and these would be available via investor in the company dashboard. Before we begin, I would like to submit the following poll and if you could give that your kind attention, I'm sure the company would be most grateful. And now I'd like to hand you over to CEO, Leon Coetzer. Good morning, sir.
Leon Coetzer: Good morning and thank you for everybody that signed in and joined in. We have such a large number in today's we're encouraging and thank you for taking that time.  Well, let's -- what our thought we will approach this morning is I'm going to very briefly go through a very summary presentation, and then stop on certain slides and go into further detail. I've got a number of questions in front of me that we have already received we'll work through, and we'll keep a close eye on new questions coming in to ensure that if I've might have missed a particular area or particular question, that you could just drop in a further question just to draw my attention to maybe an area that I have not answered completely. Well without further ado, let's jump into the presentation. We this morning we released our half year results, that's our financial results for the period July to December, and reflects basically what we had announced in February, when we brought out operational numbers. What you would have -- what you see in the numbers is really the tale of two companies at two different evolutionary points. In the company, the one being South Africa, where we focus on our chrome, and our Platinum Group Metals basket.  And of course, in Zambia, where we are developing quite a large project into copper and cobalt, and with the first part of that development becoming operational, which we've called the Southern Refining Copper strategy. Just to jump straight into the slides. The first slide really just captures what we are and who we are today, and where we've come to as Jubilee. Of course, we are a company that's renowned across our industry for turning what we call waste or perceived waste. This is materials discarded by mining, processing and refining and turn that back into value by extracting the remaining elements, either that's the metal that the company targeted when created that waste or elements that have not focused on, when mining or processing. For example, the cobalt we take out of copper or the chrome and PGMs we take out of those reefs. As our number show we very much are a low-cost diversified earnings generative company. South African business, which has evolved since 2017, when it became operational, today is a company with a capacity to produce 44,000 ounces, we've given guidance that this year will reach 38,000 ounces from our own operations. And coming in at roughly $600 an ounce, it squarely puts us at the very bottom of the cost curve in the PGM industry, which is a particularly important position to be when we in a world as volatile as it is at the moment. Of course in South Africa as well, as we said, we -- our PGM operations is supported by our chrome operations, which is a byproduct that we make by extracting the chrome from the reef we prepare the material for our Platinum Group processing facility. We are very large producer of chrome concentrate, and we well on our way to exceed our guidance of 1.2 million tonnes of chrome concentrate.  Put that in perspective, we're in the top three biggest chrome concentrate producers in the country, with that in mind. It gives you a sense, of how much chrome we produce out of reefs, materials and discards that people saw very little value in. It's with this vision that we entered Zambia in 2019, and to target copper, and cobalt ores. Also, to recover these metals and elements out of materials that people regard as low value or valueless. And, of course, in our back pocket, we still hold that very large zinc, lead and vanadium acid that also drew us to Zambia, back in 2018 and '19.  Our company is renowned for in-house expertise, we consult to very many of the very large mining companies in the fields, one of the questions that was posed to us and we often speak about our relationship with the large companies and when and how do we bring those to fruition. And that's certainly something we can discuss when we address some of those questions, as our team and our group works with some of the largest mining companies in the world, as we use to formulate a waste to value strategy alongside them. Just jumping into where, how we've progressed over the past three years, often in numbers, when we present half years or full years, it's lost, the journey is lost that we had established as Jubilee. When we started back in 2017, we told the world that in time, waste processing and recovering metals from waste will be seen as a formal industry. At the time, it was seen as a scavenging industry. And as we brought in technologies and processes and facilities, people have adopted these as a full industry and many mining companies today speak of waste to value or recovery of waste strategies.  As you can see in the numbers, we started off with 25,000 on capacity and PGMs where today we have a 44,000-ounce facility, one of the largest facilities on waste in the industry. Chrome we started off even more modest than that in 2021, before that, we were down at 300,000 tonnes of product. Today we are 1.2 million tonnes facility which we look to expand even further.  Our copper of course is taken -- has had a lot of attention. And the copper side really were shown how we started off back in 2019, acquired a refinery repurpose the refinery tested the refinery with various wastes and reef types to make sure it is ready and able constructed a new concentrator which we have brought into commissioning over the past period. It's had a few setbacks, but well on track to now deliver the full capacity of what copper is in our company. And you can see just from the curve alone on that graph, the value this strategy holds for our company and what it brings to our company which is not yet reflected in our numbers.  The new entrant into our metal group is cobalt. In last year, we just commissioned our first circuit to make cobalt hydroxide. It's a product that is well in demand, both in Europe and in China. And as we indicated, we look to expand that, at the moment, we've been able to expand that capacity roughly 3,500 tonnes of cobalt hydroxide product per annum. The equivalent cobalt metal is roughly 1:4, so a fourth of that would or quarter of that number would equate to the cobalt metal units. So today we have a capacity of roughly 75 tonnes of cobalt metal equivalent per month, which we'll look to expand on May to nearly 125 tonnes of cobalt metal per month, which equates to 6,500 tonnes of cobalt hydroxide product per annum. And that's the company that is evolving, you can see the two stories in those graphs. On the top end, which are the South African business, it's a stable entity that's reached its capacities and producing numbers to expectations in some cases exceeding expectation, while copper and cobalt is hot off the press, and being implemented and ramped up to utilize that capacity, that's now being constructed. And as we all expected, impatiently, so expect is for those capacities in copper and cobalt to start translating into revenues and earnings for the group. If we then look at the actual numbers today, that we've released for this six month period, what you see is on group revenue numbers, mainly the group revenue numbers are relates to our South African business, the chrome and the PGMs, it really shows the little contribution our Zambian business is as yet making to the overall group numbers, but also illustrates the sheer potential, this capacity that's not been capitalized, paid for, and coming in into operation, what that potential holds for us as a group to deliver that into revenue and earnings. If you look at our capacities alone in cobalt and copper, you can see that from the numbers that from copper and cobalt alone with the capacities we've already installed. We are able to hold the potential to equal what we've created in our PGM and chrome business. At the bottom end, it shows how it translates into EBITDA, earnings before income tax and depreciation as well as what is the actual net cash flow that comes over our business. It's a very important number because it's the cash flows that of course drive and fund some of the expansions we are driving into Zambia so that we do not jump into equity as we have not over the past year. You can see that the cash flow from operations have gone up nearly eight fold in the group, as the enlarged South African footprint starts producing its cash flow from operations. Our net cash position is very healthy, especially if you put that into context with the amount of capital we've pumped back into the business over the past six months to grow our operational footprint. Our net asset value in the company is growing, our sheer asset base of plant and equipment is growing dramatically. Zambia today now has a copper concentrator a refinery and the cobalt refinery line, that's fully operational and paid for.  Just a thought just to bring out, we will live in a volatile world. We have a lot of movement in metal prices at the moment. And if ever there is value in being across more than one commodity, it is in today's world where we as Jubilee are exposed to four commodities. On the one side, we have our PGM basket Platinum Group Metals, which is pulled back quite sharply.  If you compare the six-months comparative period to the past six months and even more so in the current period, where that basket price is pulled back to a roughly about $1,300 per PGM ounce. However, if you move across to the right to our chrome concentrate over our previous six months, we were averaging roughly $260 per ton of chrome concentrate, CIF that's before transport costs. If you compare that to its comparative period, you can see it's nearly 25%. And today, that price is touching $310 per ton. Clearly chrome showing its fundamentals.  What we discussed in our announcement is that chrome price has been pushed up so significantly, on the one side is driven by the ability to get the product from South African operations to China, because of the logistical challenge and the infrastructural challenge in South Africa. But also equally driven by a demand picking up and recovering in China, as China is starting to wake up and we'll touch on that on some of our metals. Copper pullback sharply over the past six months compared to the previous six months where nearly 30% pullback in copper prices. That's turned right around in that current period. For this year's average up to March, we’re averaging nearly $8,500 to $8,800 [ph] per ton. You can see our copper and chrome are the two metals performing exceptionally well during the current retraction in prices in PGMs. And of course in cobalt, cobalt prices is more than as nearly halved and retracted even further over the current period where it's dropped from its high of 80 odd $1,000 [ph] a ton down to the $34,000 per ton of cobalt metal.  We've seen just the last week, a recovery in cobalt starting to show how the demand suddenly is slowly picking up from China as we seeing orders coming back into the market from China as we expect a construction sector to pick up through April and no doubt will then drive a cobalt price where cobalt's main usage is still within the construction sector. And of course, the added benefit of it being part of the battery for electric vehicles.  Again, showing as we have a commodity basket coincidentally, in the South African basket between PGMs and chrome, chrome doing really well. It's an important metal, because it offsets our cost to make PGMs. While in Zambia, copper is doing really well at the moment with cobalt hoping to recover in the coming months.  We have this wonderful ability in Zambia uniquely so that we are able to pivot our cobalt production very rapidly, because it's not a mine, but we are recovering cobalt out of waste, we can very rapidly scale up and scale back our cobalt production. It allows us and affords us the opportunity to be reactive to pricing, rather than being proactive as mining has to be because it's such a long lead time to increase production, we can reactively increase our cobalt production and pull it back as the prices recover.  On the operational side, as we said its two companies, its two halves, if you look at Jubilee on the one side, and we have South Africa doing well. Starting to show the benefit of the capital we spent on our Inyoni operation to expand that facility. Where previously our production consisted of our own facilities, as well as what we produce out of a joint venture agreement with another mining company where we sacrificed a lot of earnings to be able to make those ounces. Today we can make out of our own facilities where the earnings attributed to Jubilee and Jubilee alone.  If you just compare our previous period to now, we've previously made roughly 15,000 ounces out of our own operations, we up to 18,000, showing the return on that investment, and also showing it in our margins of PGMs. On the chrome side, doing extremely well. Again, to explain, we'll get into some of the questions we had. In our copper side, it's a very similar philosophy, we have a central PGM concentrating facility, very highly capitalized, really cutting edge processes. It's fed by distributed chrome plants, that upgrade the PGM content by removing chrome and that upgraded PGM content is trucked to our central PGM recovery facility. These chrome is of course, very important, it's the feeder stream to our facilities. And even with the South African infrastructural challenges, which I'll delve into more detail, we've been able to exceed expectation, and absolutely expect the same from this six-month period, as our chrome operations are performing extremely well, making 640 odd 1,000 tonnes for the previous six months and looking to even exceed that in the current six months. As we said our cost per PGM ounce well intact, even with the inflationary pressure, down roughly to about $600 an ounce making us one if not the cheapest PGM producer in the world at that cost. Making a company strong cash flows, strong margins, well positioned in the current market, well positioned to take up any appreciation in PGM prices as mostly China start to wakening up and start driving the rest of the world back into growth.  What we have done in South Africa to specifically address some of these infrastructural challenges, power being one of the key aspects is lot in the media around the power generation capacity in South Africa that is under constraint, and how that's impacted so many companies. In South Africa, our PGM operation is mostly buffered against any power impact. It is because we are supplied power via a very large ferrochrome company. At that ferrochrome company is regarded as a strategic power user in South Africa and therefore spared of any power cuts, or load shedding as they call it in South Africa. And that's the reason why our PGM operation is not affected. However, our Chrome operations which are distributed, do not have that luxury. So we addressed that in two ways. The first is that we implemented backup power units, which we've tested at our first chrome units working extremely well, and now we'll roll it out. The second decision we take, is to increase the buffer of material, PGM ready material that can be fit into our PGM facility to increase that buffer to a couple of months, so that we are protected against any prolonged output up at the chrome facilities to allow our PGM operation to run without any interruptions. So in South Africa, we have very little impact on us and on our business at the moment from any of these infrastructural challenges. On the outlook going forward, we thought it prudent to be conservative on our PGM numbers, which basically predicted 38,000 ounces going for the full year period, roughly translating to a similar number as in the previous six months. But we do guide that in the event that in general, the infrastructures in South Africa and the power is better supported and if our chrome operations can operate more efficiently, we are able to up that guidance as we see the infrastructure approving.  We also still have in our back pocket this agreement with our joint venture partner to, as we've built up this large stock now, in our PGM operations. If the power stabilizes, we are able to move that stock through our joint venture partner and release the platinum. In that process stock we've built up in front of our facilities to buffer us against power outages. So there's a potential there that we can act on very quickly and it's likely that we will utilize it during this period. The other area, of course, as much as South Africa stabilized, is it still offers a lot of growth opportunity. One of the key growth opportunities beyond some of the other options we are reviewing in South Africa is to go into what we call the Eastern Limb of South Africa. That's the other PGM belt that's in South Africa, we only operate on the Western Limb. We haven't yet even touched the Eastern Limb.  We've been in the past negotiating access and we've now secured our access, we have completed our designs to commence construction of this Eastern Limb operational footprint, we’ll both a chrome and a PGM facility. We've received approval to commence within our chrome side and we look forward to commencing that construction within this calendar year to commence the construction of that chrome facility.  We've kept our decision on whether we will be building a new PGM facility or buy an old PGM facility which we renew. And that review will complete within the coming months as we just testing, what is the impact on supply chains to deliver the equipment for our PGM plant, to compared that to our chrome facility. But remember, on the completion of our chrome facility alone, we already make a saleable chrome product and we make an upgraded PGM feed material for our existing facility if need be.  And the chrome plant as we indicate, will take us roughly six months to complete. Of course, it's a conservative number. And we're working hard to pull that back as hard as we can with government so that we can accelerate the construction. We've already secured the long lead items for that facility. Funding of that facility will all be done through our own cash flows in South Africa.  If we step into Zambia, which has taken a lot of focus and criticism and some rightfully. So, in Zambia, just to step back again in Zambia, what we set out to do was ultimately deliver this very large copper, integrated copper operational footprint in Zambia broken up into two parts. A smaller part which is called the southern copper refining strategy.  It had two functions, one, to demonstrate to the industry and to investors, that in fact, we are able to take waste into copper cathode and take waste into cobalt, because it's not done in Zambia. And to also ensure that we as a company, not any technical challenges that might bring. And also the second part of that was to ensure that we implement a cash generative footprint in the early stages of rolling out this large operational footprint we target which we call the northern refining strategy, because within the copper belt of Zambia. The first part is the southern part consists of two components, Sable Refinery, which is a refinery we’ve bought an old refinery, which we've recapitalized, renewed and repurposed onto waste. We've added to that portfolio last year, a brand new copper concentrator to concentrate up the waste, and then bring that to the central refinery facility, as you can see similar strategy than South Africa, where we concentrate up more closely to the waste, and then bring that concentrated material to a central refining footprint. It's all commissioned. It's completed. Yes, we suffered setbacks. We suffered setbacks in Zambia with an infrastructure challenge that was not foreseen. Maybe some of it we should have foreseen. But we had not foreseen the extent to the infrastructure challenges that would be faced and we had to increase our scope in Zambia to adopt and bring into our control some of the infrastructure rather than being reliant on government supplying us with that infrastructure. The first part is water. We in December last year completed after securing a license, we completed a privately owned our own water infrastructure, it meant that we can extract water out of the systems, prepare, filter and transfer and distribute that water into our facility. So we no longer reliant on anyone but ourselves for the water to our facility.  The second component is the whole Zambian government -- Zambian country got thrown into chaos was the power. Zambia traditionally does not have a power challenge as significant as it what it's faced over in November, December, January, and February, but a combination of circumstances through the company into chaos. That means that we have to react and react really fast to address the power, also as part of our scope. What we've been able to achieve, was government to agree and implement an upgraded power infrastructure to our facilities, which has now been commissioned. The second critical path is to elevate our position in Zambia as a strategic power user. That meant that we are buffered or protected against power cuts in Zambia and on top of that, we've been allocated additional power by the Zambian government to our facilities as an incentive not to lose momentum on the expansion of our copper footprint in Zambia.  So that means that today where we sit today, we now have our refinery and our copper concentrator completed. We have our copper concentrator recommencing, it's ramped up after the stable water and power has now been fully secured, and we've not had any further power and water troubles since that has been completed. We've stepped up our facility to reach 80% to 85% of its capacity as we speak, and will not step up to reach 100% within April of this year. We then have roughly a month of running at that level to confirm its commercialization, as we call it. What that means is that we have confidence of a three week run that we in fact are able to run at full capacity and therefore can say that our capacity is being utilized and the project is performing to expectation in Zambia.  At the same time, as we spoke last year, we brought cobalt into the operation by adding it into our Sable Refinery. We have an additional beyond our copper, we have an additional capacity for our 75 tonnes of cobalt metal equivalent per month. And that we look to expand going further in May, because at the moment if we want to expand the cobalt, we have to pivot by taking capacity from copper for cobalt or vice versa. Copper has to take capacity from cobalt. So we run our facility within this current market, where cobalt has pulled back so sharply. We're running what we call copper equivalent units. So we're using our refinery to maximize output and margin earnings by pivoting between copper and cobalt to allow us to react to the market, as it is moving at the moment.  Part of the outcome of where we arrived today, which is not a paid for and capitalized concentrator, which is running with stable water and power. A refinery that is as a capacity of up to 12,000 tonnes of copper per annum and its capacity of cobalt.  Part of the outcome of the challenge we face in infrastructure is that today we also sit with much larger water and power infrastructure allocated to our footprint, which we did not have before. And that allowed our engineers to look at a fast simplified model for the expansion of our northern copper strategy. It meant that the concentrated we've got, we could make bigger instead of building two new ones.  It also meant that in Kitwe, which is the second area of our tailings, we could build a larger concentrator rather than two small ones. It meant that it is capital lighter and faster to implement, because to expand what we've got is far quicker than building a new one and of course cheaper. So the simplification that we've brought on, it's quite simple, where we're going to build four concentrators, we're down to two larger ones.  The missing link, of course is the refinery, is what and where, because your refinery anchors you, is how bigger refinery must be built in the north. And what we've informed the market is that instead of building one, we are targeting to do exactly what we did so successfully in the south is to buy a refinery, recapitalize and repurpose it onto our material. It allows a great opportunity to expand our footprint of actual shear capacity of more than 50,000 tonnes per annum of copper, of capacity, which we look initially to only utilize roughly about 30,000 to 35,000 tonnes of copper per annum, as our concentrators start feeding in to this new footprint.  We're really pushing hard to complete that transaction on that refinery. We have one item that we and government and the current owners are negotiating to complete, I see the government is very focused in the media on how quickly they see us being able to complete it. I'm glad that I speaking so boldly about that because we are reliant on government to complete the one item that is still needs to be resolved. And that is a taxation item from historical taxation of that refinery that must be resolved. It unlocks our strategy tremendously.  How do we fund all that? Clearly, our biggest focus and our balance sheet strength, our South African earnings strength, our plant and equipment balance sheet strength in Zambia, we look to fund by far the majority of that through debt, structured funding and our own cash to drive it for, but just not all at once.  We've negotiated funding of our refinery of the acquisition of the refinery over many years, we're not paying it all up front. Our capitalization program is not all up front, but spread out over the full 14 to 16-month whole program. And as you can see that program and fits in nicely as Roan and Sable Refinery starts performing and delivering its copper and its cobalt.  Our full year guidance, you can imagine, basically, we've taken our Southern copper refining project, we've sliced out three, four months of infrastructure challenge. And now we're starting where we should have been back in October, we now there in March. We'll be now ramping up to completion on the back of stable water and power. And that's reflected in the number, if you calculate our numbers out, you can see basically, 4.5 months has been sliced out, which is, what we were faced with over that period. It's why we're targeting this to deliver roughly 550 tonnes of copper from Roan, plus another 130 tonnes of copper per month from our third-party suppliers and that'll increase in Zambia as we're going into the dry season from the monsoon wet season, the third-party supplies will also increase going forward as we then hit June to step up to our full capacity.  We spoke earlier, copper prices remain really well supported. For this reporting period, we averaged roughly $6,800 an ounce -- or sorry, a ton of copper, we today we will be on $8,500 a ton of copper. So it's a great timing, step up your copper production and make sure you deliver your copper units. We discussed the flexibility of Sable to pivot in and out cobalt production. As we test our cobalt qualities, we've made quality that makes the European export standards critical for us, because we're negotiating directly with car manufacturers for our cobalt material. And it's important that even if we trickle feed for now cobalt, that will constantly show our ability to maintain that quality, as we will step up as cobalt prices appreciate. In Zambia, we discussed it and just touching on it, we're sitting with a tremendously valuable footprint at the moment in Zambia. We are all waiting impatiently for that to translate in our revenue and earnings number. I can't wait to present to you what the sheer impact of copper and cobalt does for our company now that you can imagine the footprint exists and despiteful.  And then on top of that, we're pushing hard to complete and conclude our transactions around the north. It makes, it so much more affordable, so much more capital light and far less risk the ability to expand what you've got and buy a refinery which you repurpose, than sitting out to build it all brand new in a country that is infrastructure challenged. And yes, if you look at the media, again, the media spoke on our behalf on some of the copper opportunities we are pursuing in Zambia, I see it even made the Zambian times some of the projects we are pursuing. As you might recall, when we started speaking about Zambia, we were asked by at the time the World Bank to review some of the waste opportunities in Zambia. And from that, we were able to prioritize our key targets. And we had informed government, which of these targets we believed should be pursued with priority. And that I see the president to the media, where they've highlighted, for example, hopefully, slag as the next project where we as Jubilee are one of the perceived front runners in that tender process. Hopefully that's like something we've worked on in the research arm of our company for quite a while. It's a tremendously potential valuable waste that contains a significant amount of cobalt and copper, in fact, is the largest cobalt and resource on surface in Zambia. But then again, I see the media spoken out about it's who we are and how close they are to conclude that process. And I'll be the first to bring it out to you factually, if we are to be successful in securing that opportunity. In addition to what we've got, it fits perfectly into our designs of our new refinery that we look to acquire and our copper footprint in gateway. It's a perfect addition to what we have.  Well, thank you that's summarizes and that concludes from presentation side, where we are. And I think just to maybe jump straight into the questions, if that's okay. We have a number of questions, some of them really well worded and asking for some greater detail and certain aspects of our business to jump through those. I've also got on a call with me, Ollie, our Chairman, he's also available to answer any direct questions that you might want to direct to our Chairman himself. He's also available at the moment for further answers and questions.  Excellent. So on the back of that, I'll jump into the questions and I said, please, do send me any new questions if you want, I'll keep on scanning them as they come in.
A - Leon Coetzer: Excellent, starting on question at the top. One of the questions was to please unpack more clearly, what are the production updates at Sable in their own specifically relating to the infrastructure challenges we had? Where are we today? Are they running or they're not running?  And we touched on that earlier, where we discussed that Sable and Roan combined because Roan feeds our refinery are today running at between 80 and 85. I saw this weekend even exceeded that throughput as we now ramp up under very stable conditions. Why we are ramping up so slowly maybe from the outside? Is we constantly maintaining our A grade copper cathode quality?  As we step up through the waste portfolio that Roan will be processing, to ensure that we don't just rush up on throughput, but lose the quality in the process. Because it's an integrated process. This is not just a concentrator being ramped up else would have been only 100% by now.  Inyoni, we spoke of. Inyoni is running very well. It's maintaining its operational guidance, and isn't performing exceptionally well.  The second question is around the North, and the funding concern. And actually that concern kicks into some of the other questions around dilution, kicking in? As we sit in the North, we are scaling back our capital for the North because of the opportunity to expand and centralize rather than have distributed plants. The exact capital number will be coming out in the coming two to three months, as our engineers are completing those designs, testing supply chains to make sure it can deliver but as I said, our CFO, myself and our Board has been actively concluding funding packages to develop that North.  The South performance is a key component to the funding of the North, because it unlocks the tremendous funding ability on your copper production profile. And therefore the North can be funded from those cash flows balance sheet and of course supported by our South African operation.  Another question grouping is around power. Clarity required around are we today being affected by South Africa's power issues, are we being affected in Zambia?  As we speak today, we are not affected, our operations are running back to normal, back to full operational uptime linked to power. As I said in South Africa, we are naturally protected being a supplier -- being receiving our power from a very large ferrochrome producer. And in the chrome side, we're rolling out our backup power units.  In Zambia our upgraded power is complete, our water infrastructure is complete, we've recapitalize those increased our scope and we are being fed by our own water supply system and an upgraded elevated in status power agreement. If we then look at some clarity questions around cobalt, and I want to be sure we talk that through slowly, because it's sometimes cobalt in itself is a complex metal in a very complex market. I don't want us to also complicate what we do in cobalt?  In cobalt, we make a cobalt hydroxide product. We had targeted that product because it's got a very high cobalt component to it. It also is, because the valuation you get for your cobalt hydroxide product in the market is very high, if you meet your qualities. So when we speak of a 6,500 tonnes cobalt hydroxide product, you divide that roughly by full 28% of your product is cobalt. So that's how you calculate the cobalt metal content of your cobalt hydroxide product. Your cobalt hydroxide depending on where the market runs, can be anywhere from 75% to 68% of LME. On the year remaining, what is our production guidance in a bit more detail? On the year remaining, we are targeting to deliver 38,000 ounces a PGMs, hoping to exceed that, if power allows us to liquidate the stock we've bought up in front of our PGM facility.  On chrome, we're looking to exceed our 1.2 million tonnes by year-end of which 30% of that we sell. It's why the chrome price is also important to our company.  On copper, ones who have now completed our commissioning, we look to produce 3,000 tonnes of copper. And yes, going forward, of course, you're looking to go up by nearly 3.5 times that going forward, because this year will basically reflect 2.5 months of full copper production only. And going forward of course it will reflect full 12-months of copper production for our facilities.  Forward guidance? I can really only provide what's in the market. But in forward guidance, it's easy. We've given you specifically the monthly copper, so you can forward guide on copper and see that we look to it to just on from Roan to take our 3,000 in the 6,500 tonnes from Roan alone. And if you than add the third-party copper, you're looking to 8,000, 8,500 tonnes of copper before anything comes from the North. On cobalt, we did not bring it into the forecast purely because we're waiting for clarity on the cobalt pricing. Just last week, cobalt started to show a recovery. Cobalt is extremely sensitive to trades made from China. It doesn't follow the LME. And just last week, cobalt trades it came through already picked up the cobalt price. And we're looking to see that that uptick in demand from China is sustained as China's construction sector starts picking up and is expected to pick up even more towards April. So as April comes we'll make a decision on how quickly we ramp up our cobalt. Because as we said we from waste, its not from a mine we can ramp up extremely quickly and build up that cobalt production for the market. At the moment, we're maintaining roughly about 50 odd tonnes of cobalt equivalent metal to sustain our markets before we ramp it up. If we get guidance from a recovering cobalt price. On the expansion of Roan, there's a two questions which I'll drop them into one question, and it really is around since we are expanding Roan, when will we start that? How will it be done? And then the second question was, well, if you expanding Roan, and it's the key feed stream to Sable, does that we were going to make no copper while we expand Roan? The answer is no, but it's affected. So when do we start Roan, our engineers are finishing off that designs now to see how do we expand Roan like we did South Africa, where we expanded our Inyoni operation, but maintain production. It's a sensitive engineering system to run, but we've done it successfully before. And that's the design we're looking at Roan.  It's also why we've pulled back in our numbers, a conservative number on to Roan's production profile to allow for some downtime at Roan, but it's in the number already. And as we said, as the dry season comes into Zambia, we are able to step up dramatically. The copper from third-party, because the ability to transport it, is easy in the dry season, because a lot of the transporting is off untarred roads, but it needs a dry weather to travel on.  The question is around Roan and Sable? So as I think we've addressed it in the presentation as well, where we've discussed and shown that we are well progressed, it's running in roughly 80% of its capacity and we now are stepping up to full capacity within the coming week and a half to two weeks as we just want to make sure that our copper cathode quality is maintained throughout. The question is around cobalt and cobalt and copper and what is our cobalt strategy?  I think it's best to look, Ollie, our Chairman mentioned that so nicely, is that we are looking to utilize our footprint at Sable Refinery to maximize earnings and revenue. So we call it the copper equivalent units. We are clearly with copper prices pushing copper as hard as we can. And cobalt for now is being used as a capacity which we can step up very rapidly. And post May where we've fully separate copper and cobalt, where we’re able to step up cobalt, even more, we’re able to step up to under 120 to 125 tonnes per month of cobalt.  So we have it ready, we have the stock ready. And as soon as we see the cobalt prices sustaining, its upward momentum, that it's exceeding the $37,000, $38,000 a ton of cobalt, that’s upward from its 30, 32 to 34 we can increase along that curve, our cobalt production. It's a very powerful tool for us to have uniquely so at Sable.  Some questions are around copper specifically, direct leaching of copper sulphide, what does that mean? Is it a benefit? What is it not?  What it means, is that we are as Jubilee, we are able to take concentrates from third-party suppliers that contains both copper oxide which is traditionally leached and copper sulphide which are traditionally smelted in the furnace. We are able to take both of those and leach them through Sable and extract both. So that benefit to us is that we are able to recover a copper that most refineries in fact very few if any can directly recover that copper sulphide, it's normally just goes out to waste, we are able to recover both. It makes our margins stronger to be able to pursue third-party materials copper sulfide recovery.  The question about margins on copper in the numbers? Remember that at the moment, our numbers reflect a very small amount of copper for a very large refinery. So clearly your fixed cost dilution isn't there for copper units. It is why our copper unit cost per tonne, its up to above $6,000 a tonne, when it's budgeted to be in a very low $5,000 a tonne within the current inflation of the industry. Just again before we move into some financial questions. There were questions around, what does it mean our centralized strategy? How far or the waste now from these central concentrators?  To explain that we have a refinery. We have a concentrator, a large one now in our designs, and then we have small upgrade facilities at the tailings dams. These upgrade facilities only use physics, not chemistry, because physics is cheap. We do for example, size specification, that only a certain size of material is brought where the copper is allocated or only a certain heaviness or density of material or magnetics. It's all very easy physically applied classification techniques to only bring forward what is value to our facilities. That's what's distributed, they're very power light, and very capital light upgrade facility. It's what makes us so unique. Is that part that we are consulting to so many large mining companies?  Question on, when are we delivering the full capacity of the South?  We are delivering that within the coming two months, as we said in our announcement. May onwards we called our commercialization. That's when we are consistently and persistently producing at our commercial budget and throughput. That's what the commercialization means. It's not when you start producing, it's actually when you've now reached your budgeted output of copper. There is a very difficult question for me and for Ollie. Shareholders and I share your frustration there on the shoulder myself, is, when do we expect the share price to recover?  It is extremely frustrating. To watch the share price performance as have. When we know what the carrying asset value is and the investments we've made into this business, especially when you see the South African operations performing as it is and the growth opportunity we have in South Africa to fund it from our own cash flow in South Africa to drive our ounces, even higher in South Africa with our chrome. And on top of that, with the footprint, the operational footprint we have in Zambia, a refinery, a concentrator which even the President of the country comes in and visits to see. This is what new investment in the country looks. I think there's an expectation and a frustration in the market to see that investment turned into revenue and earnings and what production revenue and earnings numbers.  And then we all look forward and believe you me there is no more committed team to ensure that happens than the Jubilee's team in Zambia, who is driving that forward, especially after frustration, we had to bear over the past months with power and water infrastructure, simply just not being reliable. And maybe it was missed by us to understand and expect the sheer extent to which the water infrastructure was collapsing.  But certainly, it's been addressed and the power infrastructure even came as a surprise to the government. The circumstances that brought that on, that related to intercountry power of texts that were not honored in southern Africa.  Ollie maybe you want to add to the share price and the share price performance?
Ollie Oliveira: Thanks, Leon. I think that one has to take into account and put into context, the fact that the world economy is going through a very, very tough period. And risk aversion is probably at one of the highest levels. That certainly, I can recall beyond previous crises. So that's one factor.  The second certainly is the fact that we have as a company not delivered on time and on budget, the expansion of our Zambian projects. Now, they are mostly extraneous factors that can be tabled to explain the failure to do that. And there are some internal factors less of a percentage, but nevertheless, there were some of the infrastructural risks particularly around water were not taken into account to the extent that they ordered. The result is what you see a commissioning process which was severely interrupted by initially the water problems and then by the extraneous factor of a general power outage in Zambia, which was a southern African power issue rather than a specific Zambian power issue. And the results that we are approximately four months late in delivering what was promised to shareholders.  And shareholders can be an unforgiving lot and they have expressed their dissatisfaction with that aspect. And all the company cannot do, is A, emphasize that the delay is not allied to a technological issue or metallurgical issue having been identified, which was not previously identified, in fact, that metallurgically, chemically and every which else, the company has proven, the concept of producing copper cathode from whatever the material is that goes in the front end of the plant. And the fact that from waste, very good, high grade cobalt can be produced.  What has led the company down or the factors that I've just mentioned. And I think we all should be and I think all humble enough to say some of that was the company's fault. Most of that wasn't, but ultimately, we did not deliver on time, or, as I say, on budget. So that would be my adding to what you've already said, Leon. Thank you.
Leon Coetzer: Thank you, Ollie for that. And thank you for that comment. I'll jump straight into further financial questions coming through. And I see there's a few questions that just really quickly clarify and maybe I'm not being clear enough. When we speak copper and cobalt, it's not that we take away from copper to make cobalt and the capacity?  Our copper capacity is our copper capacity. It's only if we step up beyond our cobalt capacity of 3,500 tonnes approximate cobalt hydroxide. If we go above that, we have to take from copper, but that is addressed in coming May when we physically separate them out where even beyond that cobalt capacity, we do not have to sacrifice copper. The other question is around Roan specifically, I want to be very clear. The guidance we've given on Roan output of its 550, is the guidance is we step up and maintain our copper, quality, roads capacity, still very much is to use copper north of 800 tonnes of copper itself a month. And that's the capacity, we will step up to post this financial period as we complete the full package of the waste portfolio coming through Roan, it's not so much about how much we put through it, it's the type of waste we put through it and to maintain at all times that we maintain our copper quality. How much capital have we spent, we've spent £28 million roughly on constructing commissioning, Roan? Still very light for what we've got there based on the engineering, but it was done in-house. But the extent of the three to four-month delay adds capital, because it means we are running a plant or waiting for power for a plant that's been paid for. So we are paying people running tests and trials while we wait for power, which of course is now behind us. The next questions to jump into very quickly is around dilution, shell replacing? I think that was answered by Ollie as well.  As our Board and you've seen our Board members as shareholders themselves, dilution of shareholders certainly is not on the agenda and definitely is not a choice we would easily or a decision we would easily take, not with our balance sheet, not with our cash flow generation, you've seen in the numbers, show that dilution is taken as taken as a very, very serious topic within Jubilee. Yes, history to get involved the balance sheet with rely on shareholders to bring us here. But we now have a balance sheet to utilize and specifically deleveraged for our expansion plans at the time. Looking further into our financial questions, they delve into. So going into the topic of our quarterly reports, which is something our Chairman Ollie is also being addressing in our group. As you can see quarterly reports and in the company. Our South African business is suitable now towards quarterly report, its an operational company.  And I think Zambia is coming into a position post this construction commissioning testing phase to itself consider, whether it is in a position to go into such a reporting cycle. And it's something the Board is reviewing and it'll take a decision on whether the company has reached that evolution on its production profile, or should we simply increase our communication with the market during the construction and commissioning phases of our projects. The question about large mining companies in our discussions, we really are pushing for some of them to give us [indiscernible]. You had mentioned their names to our shareholders. Believe you I mean we are as eager as you are to have it known. We are progressing and I know it's a word we use a lot. But we are actively involved with large mining company houses on completing first and foremost the portfolio of waste they hold. Secondly, completing the tests and the trials on that material to quantify its potential and then design solutions for them.  You will -- as news flow seems to come out faster out of Zambia before even we can communicate, one such large mining company is already discussing the kind of pursuits it has with companies like us to develop and partner with them on recovering and finding solutions for their wastes. More and more companies speak of it, and the more we prove up the concept, the more it happens.  Already today, Jubilee produces nearly a quarter of the world's largest chrome mining companies product from their materials that previously regarded as waste.  A next grouping of questions is around the right back then from our long standing shareholders, I am say long suffering shareholders. It was our entrance into Zambia with the zinc, lead and vanadium project. We put it back then on the backburner to prioritize copper and cobalt, but certainly the way zinc is performing and lead is performing within this new transition of energy into batteries. It is something that is definitely back on the agenda. It's being looked at very carefully by our engineers, you might recall we have a partially constructed footprint for zinc at our facilities and the zinc prices receiving such support, it certainly is something that company has put back on the radar to put back into the xcos [ph] discussion to see do we complete partner with a company to alleviate the workflow?  Or do we execute that project and bring that back on to the execution timeline in Zambia, because as those who might not be aware, as Jubilee, we own a very large resource with both zinc, lead and vanadium. It's a waste pile of material on our website, very large in Kabwe that contains all three critical battery elements that we had de-prioritized in favor of copper and cobalt. Our next group of questions is on Tjate [ph], Tjate, which is one of our legacy mining exploration projects we hold on our balance sheet. And questions are on what's happening with that?  We are as Jubilee we've been approached by various mining interested companies to partner or even buy that asset from Jubilee. And those are being discussed with our partners, we don't own Tjate outright. We have partners in Tjate, and we are discussing with our partners, what the best outcome is of that asset.  Fair to say, that we are certainly looking and prioritizing a partner to partner with us through either acquiring a position in that project to develop it, where we provide the processing solution or possibly acquiring it outright from Jubilee. That's our view on Tjate. We've got a number of further questions coming in. What -- there is questions on some more detail on Zambia. Questions such as, what's the content of copper along your process? It's actually quite simple. A waste copper dump typically contains roughly north of 5% north of 7% copper. We upgrade that to 2% 2.5% copper before we transport it to a concentrating facility, where we concentrate it up to north of 11%, 12% copper before it's refined to pure metal in the copper flow. Facility of the central, that for example, Roan concentrator is roughly about between 15 and one to 30 kilometers away from where these upgrade facilities are planning to be built. There was a question around the DRC [ph]. Clearly there are concerns on the DRC. It's a -- whether some of our projects are in the DRC? That are absolutely not know, all our projects are in Zambia and in South Africa. At this stage, we have no DRC interests as much as they are tremendous opportunities. It's not something that company has taken a decision or view on at this stage.  There's a question about structured financing, does that mean equity? The answer is no, structured financing does not mean equity. Structured financing means it is leveraged debt or unsecured debt that is not against, not secured as against assets. But rather its debt that is not securitized but geared against your production profile, like metal streaming, for example. And I think just to conclude, we've gone for just over an hour. There is questions around sourcing of material, margins on copper and cobalt?  Our margins on copper is in our announcement. We target as we look at the previous periods roughly about $5,500 a tonne to produce a tonne of copper cathode, you selling copper for nearly $8,000, $8,500 a tonne.  Cobalt margins, it's too early for us to say we're waiting to get guidance from cobalt pricing and how much cobalt we're going to make. If you look in the market, cobalt to produce a tonne of cobalt from market information is roughly about $16,000 to $18,000 a tonne depending on how efficiently you are operating in cobalt. Questions are on joint ventures in Europe?  We do not at this stage have joint ventures in Europe. We are consulting into Europe, but we don't have a joint venture into Europe. We have joint ventures into other potential jurisdictions with large mining companies, but not in Europe at this stage. Just I suppose a final question, just to answer. That I think there's a generic, a couple of them coming through, is around just again to clarify, we have a capacity at our refinery?  Our refinery has a capacity of roughly 12,000 tonnes per annum of copper. Roan concentrator, full capacity at the right grade of material has a production capacity of roughly 8000 tonnes of copper to 8.5. So you can see the difference between the two is roughly third-party materials.  And last comment I'll make just in general, there's about four questions around this. Just to speak through the current metal prices, where we are in our four basket metals. If we look at copper, copper, as you've seen, has enjoying great demand. Its prices are holding up very nicely even in this volatile markets we are in copper prices are maintaining above its $8,000 mark, and we can see the demand of copper is strong.  It's a very, very the market fundamentals are working in its favor. The production of ability to produce copper is constrained in the world, while the demand for copper is ever increasing, both in construction, of course as urbanization, but also very strongly in the electric vehicle and battery manufacturing. Every time we want to connect electricity, copper is needed.  If we then step into the cobalt market, cobalt market prices have seen a strong pullback in prices. China basically went to sleep in December, January, February and beginning of March on cobalt, the cobalt prices reflect that. But what we've seen just in the last 10 days, is cobalt interest coming back in from China starting to place orders for cobalt.  And you'd have seen just last week, how quickly cobalt reacted as the expectation of the cobalt the construction market of China is waking up to commence construction again, in April.  If you look in South Africa, chrome, as we said, strong demand for chrome, and equally a difficulty to get chrome to market. It's why chrome prices have even reached $300 a tonne. Because of the demand for the product. Yet the delivery is constrained in South Africa, where it is the biggest producer of chrome by far in the world. And that's why the chrome price is so well supported. The inability to export Chrome doesn't really impact us as most of our chrome are locally as a company.  PGMs on the other side, PGM is being associated mostly folded by its used in jewelry, and into car manufacturing. It's items seeing the directly tracks world economic health. And also therefore if there's any fear of world economic health, PGMs react very fast and retract very fast. It's equally reacts positively fast when the world is expected to recover. Because the stocks are desperately then required to convince the manufacturing of vehicles for example. It's why PGMS have pulled back so sharply.  It will also be a metal that reacts very sharply upwards on -- if the China recovery is sustained, as China says it is expecting to be. Just this morning we review the latest news flow showing how the various sectors in China domestic demand is picking up which is a critical factor for PGMs, because they have the largest automobile and market in the world. And therefore it’s a leading indication for PGMs and what might come in PGMs.  You’ll see the big PGM manufacturers are projecting a steady appreciation in PGM prices, linking to the fact, that China will recover and therefore we’ll drag the world along with it. That’s a general view in the baskets we are operated -- operating in.  With that I would like to thank you all for taking the time to listen to me yet again and our Chairman, Ollie. Thank you for that. Please feel free to, as we said, we'll go through the questions in greater detail again, to see what we've missed and answer them again through the platform.  Thank you for your support. It's not taken lightly at all, within the group. It's frustrating times, but certainly it's time that we are very excited to now utilize as we said, this infrastructure, this capacity that we have invested in to translate that into production numbers, to actually reflect why the two businesses of Jubilee are so well positioned and offer so much value to our shareholders.  Thank you for your time. And I hope to speak to you soon on our next releases.
Operator: Leon that's great and Ollie as well, thank you very much indeed for updating investors today. Can I please ask investors not to close this session as you'll now be automatically redirected for the opportunity to provide your feedback in order the management team can better understand your views and expectations.  It's going to take a few moments to complete but I'm sure will be greatly valued by the company. On behalf of the management team of Jubilee Metals Group plc, we would like to thank you for attending today's presentation. That now concludes today's session. So good afternoon.